Operator: Good day, everyone, and welcome to this Microchip Technology Fourth Quarter and Fiscal Year 2011 Earnings Results Conference Call. As a reminder, today's call is being recorded. At this time, I'd like to turn the call over to Microchip's President and Chief Executive Officer, Mr. Steve Sanghi. Please go ahead, sir.
Steve Sanghi: Good afternoon, everyone. We'll have our CFO, Eric Bjornholt, start the call. Eric?
J. Bjornholt: During the course of this conference call, we will be making projections and other forward-looking statements regarding future events for the future financial performance of the company. We wish to caution you that such statements are predictions and that actual events or results may differ materially. We refer you to our press release of today, as well as our recent filings with the SEC that identify important risk factors that may impact Microchip’s business and results of operations. In attendance with me today are Steve Sanghi, Microchip's President and CEO; Ganesh Moorthy, Microchip’s COO; and Gordon Parnell, Vice President of Business Development and Investor Relations. I will comment on our fourth quarter and fiscal year 2011 financial performance, and Steve and Ganesh will then give their comments on the results, discuss the current business environment and discuss our guidance. We will then be available to respond to specific investor and analyst questions. We are including information in our press release on this conference call on various GAAP and non-GAAP measures. We have posted a full GAAP to non-GAAP reconciliation on the Investor Relations page of our website at www.microchip.com, which we believe you will find useful when comparing GAAP and non-GAAP results. I will now go through some of the operating results. I will be referring to gross margin and operating expense information on a non-GAAP basis, prior to the effects of share-based compensation and acquisition-related expenses. Net sales in the March 2011 quarter were $380 million, and were up 3.3% from net sales of $367.8 million in the immediately preceding quarter, and were up 36.7% from net sales of $278 million in the March 2010 quarter. Net sales in the quarter included approximately $2 million from Microchip's acquisition of Millennium Microtech Thailand, also known as MMT, a provider of assembly and test services for semiconductor manufacturers, including Microchip, which Ganesh will discuss later in this call. Excluding the MMT acquisition, net sales in the March quarter were up 2.8%, near the high end of our guidance. Net sales for fiscal 2011 were $1.487 billion, up 56.9% from the fiscal 2010 levels. On a non-GAAP basis, gross margins were 60.2% in the March quarter, an increase from 59.8% achieved in the preceding quarter, and above the high end of our guidance. Operating expenses were 24.1% of sales, and operating income was 36.1% of sales. Net income from continuing operations was $119 million or $0.59 per diluted share, which was also above the high end of our guidance. I would like to highlight that Microchip achieved $0.59 of non-GAAP EPS, excluding the MMT acquisition. MMT was accretive but did not move the needle on EPS. I want to remind investors and analysts that fluctuations in Microchip's share price impacted diluted shares outstanding used in our earnings per share calculations. The average share price of Microchip's stock in the March quarter was significantly higher than the average price in the December quarter. This resulted in a higher share count in part because incremental shares are included in the EPS denominator from Microchip's outstanding convertible debentures. Dilution from the convertible occurs at average quarterly share prices above $29.04, which is the current conversion price. We have updated the schedule on the supplemental financial information section of the Investor Relations page of our website that shows what the incremental share count from the convertible debt will be at various share prices. This should continue to be helpful to investors and analysts when trying to estimate the impact of share count increases on earnings per share. Our financial guidance for the June quarter is based on an average Microchip's share price of $40 for the June quarter to calculate the additional dilutive effect from the convertible debt. The negative impact on the earnings per share calculation from the difference in the assumed average stock price for the June 2011 quarter compared to the March 2011 quarter is about $0.01. Investors and analysts should refer to the table on our website if they want to model the diluted shares outstanding using a different average share price for the June quarter. For fiscal 2011, on a non-GAAP basis, gross margins were 60.1%, an increase from the 57.4% achieved in fiscal 2010. Operating expenses were 24.2% of sales, and operating income was 35.9% of sales. Net income from continuing operations was $462.3 million or $2.39 per diluted share compared to $1.32 per share in fiscal 2010. On a full GAAP basis in the March 2011 quarter, gross margins, including share-based compensation and acquisition-related expenses, were 59.4%. Total operating expenses were $101.2 million or 26.6% of sales, and included share-based compensation of $7.6 million and acquisition-related expenses of $2.1 million. GAAP net income from continuing operations was $130.6 million or $0.65 per diluted share, and includes a onetime favorable tax benefit of $24.4 million, which includes the settlement of an IRS audit and other onetime tax events. There was a net loss from discontinued operations of $5.1 million in the March quarter. For fiscal 2011, GAAP gross margins were 58.8%, an increase from 56.4% achieved in fiscal 2010. GAAP operating expenses were 26.9% of sales, and GAAP operating income was 31.9% of sales. GAAP net income from continuing operations was $429.2 million or $2.20 per diluted share compared to $1.16 per share in fiscal 2010. The net loss from discontinued operations in fiscal 2011 was $10.2 million. In the March quarter, the non-GAAP tax rate was 11.7%, and the GAAP tax rate benefit was 8.8%. The GAAP tax rate was impacted by a favorable settlement with the IRS for fiscal years 2006 through 2008, a charge for tax restructuring and the release of a previously reserved item due to the statute of limitations expiring. Our tax rate is impacted by the mix of geographical profits and the percentage of our cash that is invested in tax-advantaged securities. We expect our combined forward-looking effect of tax rate to be about 12.25% on both the GAAP and non-GAAP basis. To summarize the after-tax impact that the non-GAAP adjustments had on Microchip's earnings per share in the March quarter, share-based compensation was about $0.04, acquisition-related items were about $0.019, noncash interest expense was about $0.005 and the benefit from the tax matters discussed earlier was about $0.121. The dividend declared today of $0.346 per share will be paid on June 2, 2011 to shareholders of record on May 19, 2011. The cash payment associated with this dividend will be approximately $65.7 million. Moving on to the balance sheet. Microchip's inventory at March 31, 2011 was $180.8 million or 107 days, flat in days to the prior quarter level. We have stated that our internal target for inventory days is 115, and we will continue to build inventory towards that target to maintain short lead times and support our customers' delivery requirements. This has been a successful competitive advantage for Microchip over many cycles, and we expect similar positive results from our customers in the market. Inventory at our distributors was 40 days, which is up one day from the prior quarter level. At March 31, Microchip's accounts receivables balance was $181.2 million, a decrease of 3.3% from the balance of as of the end of December. Receivable balances are in great condition with excellent payment performance continuing from our customers. As of March 31, Microchip's cash and total investment position was approximately $1.71 billion, and was up about $135 million from the prior-quarter levels. Our cash generation continues to be strong, and our total cash and investment position is projected to grow by approximately $115 million to $125 million in the June quarter, prior to the dividend payment. Capital spending was approximately $24.3 million for the March quarter and $124.5 million for fiscal 2011, about $5 million less than what we had communicated in our last earnings call, due to the rollover of some of this capital into the first quarter of fiscal 2012. We are continuing to invest in equipment to support the revenue growth of our new products and technologies, and our capital expenditure forecast for fiscal 2012 is about $125 million. And we expect the capital expenditures to be about $37 million in the June quarter. Depreciation expense in the March quarter was $22.8 million, which was down from depreciation of $23.6 million in the December quarter. Depreciation expense for fiscal 2011 was $92.7 million compared to $86.4 million in fiscal 2010. I will now ask Ganesh to give us comments on the performance of the business in the March quarter. Ganesh?
Ganesh Moorthy: Thank you, Eric, and good afternoon, everyone. Let's now take a closer look at the performance of our product lines and starting with microcontrollers. Our Microcontroller business performed at the high end of our expectations, with revenue up 4% on a sequential basis and up 17% from the year-ago quarter to set a new record. For fiscal year '11, which ended on March 31, our Microcontroller business was up 32% over fiscal year '10, breaking through the $1 billion revenue mark for the first time ever and setting a new record in the process. Our 8-bit Microcontroller business was strong and delivered solid results for the quarter, as well as for the fiscal year. Our 16-bit Microcontroller business was up 24% sequentially and was up 86% from the year-ago quarter, setting a new record. For fiscal year '11, our 16-bit Microcontroller business was up 102%, more than doubling over the fiscal year '10 revenue and setting a new record. New customers and new designs continue to go into production, as a number of volume 16-bit customers grew to over 3,700 customers. Our 32-bit Microcontroller business had another strong quarter of growth in the March quarter, up 35% on a sequential basis and up 226% from the year-ago quarter to achieve a new record. For fiscal year '11, our 32-bit Microcontroller business was up 257%, much more than triple the fiscal year '10 revenue and also set a new record. The number of customers in volume production grew by over 11% to 584, as we continue to build a broad base of customers to grow this business. Moving to Development Tools. We shipped over 44,000 development tools in the March quarter. In fiscal year '11, we shipped a record number of development tools with over 183,000 tools shipped. Development Tools sales remained an excellent leading indicator of continued strong design and activity and acceptance of our solutions by our customers and the continued trend of strong Development Tools sales bodes well for future growth. About a month ago, Gartner Dataquest released the microcontroller market share report for 2010. Despite gaining market share again, for the first time in 5 years, Microchip dropped to the #2 position for 8-bit microcontrollers, due entirely to the merger of NEC and Renesas in 2010. Renesas itself was formed several years ago through the merger of Hitachi and Mitsubishi. And it is interesting to note that it has taken the combination of 3 Japanese semiconductor giants, NEC, Hitachi and Mitsubishi to knock us off the #1 spot. Be assured that we will not rest, and we will work relentlessly to continue to gain 8-bit market share, and we fully expect to wrest back the #1 spot in the coming years. Also based on Gartner's report and our assessment, the outstanding growth in our 16-bit microcontrollers enabled us to move up 2 more spots to the #8 position. We estimate that we were by far the fastest growing provider of 16-bit and 32-bit microcontrollers in 2010. Last but not least, based on Gartner's report, and excluding Smart Card shipments, Microchip is now the third largest microcontrollers supplier in the world. Also within the last month, EE Times released the results of their annual Embedded Market Study. Once again, Microchip was rated by embedded system design engineers as their #1 choice for 8-bit and 16-bit microcontrollers. And for the first time, we were also their #1 choice for 32-bit microcontrollers in the segment of the market that we serve. So whether you look at the historical data, as measured by Gartner Dataquest, or the forward-looking data as measured by the EE Times study, customers continue to show a strong preference for Microchip's microcontroller solutions. Now let's move to our Analog business. This business was up 3.5% sequentially, and was up 45% from the year-ago quarter. For fiscal year '11, our Analog business was up a strong 78% to set a new record. We are very pleased with the design win and revenue momentum our Analog business had shown. And we are now up to almost 17,500 customers who are buying Analog solutions. We continue to introduce a steady stream of innovative new products, which we expect will contribute to continued strong revenue growth. Moving to our Memory business, which is comprised of our Serial E-squared memory products as well as our SuperFlash memory products, this business was down 5% on a sequential basis. We continue to run our Memory business in a disciplined fashion that maintains consistent profitability, enables our licensing business and serves our microcontroller customers to complete their solutions. There had been some questions and concerns about the impact of the Japan earthquake on our supply chain. Our current assessment remains consistent with our initial assessment, that we expect no disruption in our supply lines. Through a combination of well thought-out sourcing strategies, effective contingency plans and a little bit of luck, we are in the fortunate position of not only being able to continue our operation uninterrupted but to also initiate actions to increase supply, so that we can take up some of the slack for industry manufacturing capacity that has been lost. During the March quarter, we completed the acquisition of Millennium Microtech Thailand, also known as MMT. MMT is a provider of assembly and test services for semiconductor manufacturers including Microchip. They are also one of the 2 major providers worldwide of extremely specialized assembly and test services for high reliability applications. Microchip's existing facility in Thailand had room left to support about another 2 to 3 years of growth, but we were facing a decision whether to buy or build another factory. The acquisition of MMT gives us our second factory, with a ready-made trained staff and substantial room for future expansion, all at a fraction of the cost of starting from a greenfield. The acquisition of MMT also immediately gives us lower cost from the service that they were providing Microchip, as well as the small but highly profitable business providing specialized assembly and test services. MMT added about $2 million to our revenue in the March quarter, and is expected to add about $4 million in the June quarter, reflecting the full quarter. Let me now pass it to Steve for some general comments, as well as our guidance going forward. Steve?
Steve Sanghi: Thank you, Ganesh, and good afternoon, everyone. Today, I would like to first comment on the effect of earthquake and tsunami in Japan on our business, then I will reflect on the overall March quarter results. And finally, I will talk about our guidance for the June 2011 quarter. The devastation caused by the earthquakes, tsunami and the nuclear threat on Japan's people and resources is unprecedented. Our sympathy and prayers continue to be for the Japanese people. As far as the impact of these events on our business is concerned, it was multi-faceted. First, we received some push outs of orders scheduled for shipment in March. Some of these push outs were sales out from distribution in Japan. The other push outs were from factories in U.S. that were shut down due to lack of piece parts. We believe that this impact was a total of about $2 million to $3 million on the revenue for March quarter. And this impact is not recoverable because the factories are not going to overbill to make up for it. The impact for June quarter may be a bit larger due to the full quarter. As we look forward, we see 2 types of impacts. The first impact is negative and is the same kind of impact we saw in March quarter, namely, lower demand in Japan and the impact of shortage of Japanese piece parts. The second impact is very positive, which is driven by customers looking for substitution parts from Microchip when they cannot get them from impacted factories in Japan. We have been inundated by inquiries from customers wanting to substitute product. We are actively providing technical support to help customers execute their redesigns. We have booked a few orders for such substitution already, and many more redesigns are underway. We have also been getting very strong bookings from our existing customers who are concerned about potential shortages developing in the market. It is difficult to tell the net impact of these 2 opposing effects. Therefore, our guidance will be wider than normal. As I reflect on the overall revenue for the quarter, we are very pleased to have hit near the high end of our guidance on net sales, despite losing some revenue opportunity due to the Japan issue. Gross margin percentage, operating profit percentage and non-GAAP earnings per share all exceeded the high end of the guidance range. Our licensing revenue was up 6.9% sequentially and reached another all-time record of $20.4 million in the March quarter. Our overall microcontroller revenue, our 16-bit microcontroller revenue and 32-bit revenue, all hit new all-time records with impressive growths in 16-bit, as well as 32-bit revenues. At the present time, our 32-bit revenue slightly exceeds our 16-bit revenue when compared to the same number of quarters after introduction. So our penetration in 16-bit and 32-bit microcontrollers and overall market share in microcontrollers continue to progress very nicely. The March quarter also marked our 82nd consecutive profitable quarter, and is a testimony to the resilience of the business model, resiliency of the business model that we have fine-tuned over time. Looking at the fiscal year 2011. We closed the year with a record revenue of $1.487 billion, which was up 57% from prior year. We also made new records in all strategic product lines. Our 8-bit, 16-bit, 32-bit microcontrollers and Analog revenues all hit new full year revenue records. We also achieved record non-GAAP EPS of $2.39, which was up 81% from prior year. It was one of our best growth years ever. I want to thank the entire Microchip team for a job very well done. I also want to thank our customers for their continued trust in Microchip's solutions. I also want to say that some of you were concerned about a deep inventory correction. We did complete the inventory correction in one quarter back in December and then grew in the March quarter. I will now provide guidance for the June 2011 quarter. First, we have proven again that book-to-bill ratio has no correlation to the following quarter's revenue. Coming out of the December quarter, our book-to-bill ratio was 0.77. We gave a guidance of revenue growth of 1.5% at the midpoint for the March quarter, pointing to the 0.77 book-to-bill ratio, some of you doubted that guidance. We achieved near the high end of that guidance despite losing some revenue opportunities related to Japan. So we have proven one more time and for the last time that book-to-bill ratio does not correlate to the revenue in the following quarter. The book-to-bill ratio just causes unnecessary confusion regarding the outlook. We had excellent bookings in the March quarter, so now will be a good time to stop providing book-to-bill ratio going forward. In addition, April saw best bookings ever for the first month of the quarter. As I mentioned earlier, our guidance will be wider than normal because of the opposing negative and positive effects of Japan crisis. There are a large number of design conversions underway, which will have a positive ongoing effect. The only question is how many of these designs will bring production orders in the current quarter? After reviewing these factors and after a comprehensive bottoms-up look of our business worldwide, we expect the June quarter revenue to be up 1% to 6% sequentially. We expect our non-GAAP gross margin to be approximately 60.3% for June quarter. And we expect non-GAAP earnings per share to be between $0.58 and $0.62. Earnings per share assumes an average Microchip stock price of $40 in the quarter, which adds 3.4 million shares to our share count from the March quarter. The total net earnings in dollars at the midpoint of the guidance are expected to be up about $3.5 million or about $0.02 per share increase at a constant share count. Given all the complications of accounting for the SST acquisition done last year, including amortization of intangibles and restructuring charges and sale of our non-core businesses like many other companies have done, Microchip will continue to provide guidance and track its reserves on non-GAAP basis. We believe that non-GAAP results will provide more meaningful comparison to prior quarters, and we expect that the -- and we request that the analysts continue to report their non-GAAP estimates to first call. With that, operator, would you please poll for questions?
Operator: [Operator Instructions] We'll go first to Harsh Kumar with Morgan Keegan.
Harsh Kumar - Morgan Keegan & Company, Inc.: Two questions. Steve, you had a pretty steady Auto business from many years ago, and I assume it's continuing to be steady up to maybe some of the libations now because of Japan. It's not showing up in your numbers, obviously, you're doing very well. Could you maybe provide some color still on what that impact is -- Auto is for you? And how you're able to overcome some of the obvious weakness that's coming out of Japan.
Steve Sanghi: Well we have a fairly significant and a very steady and very profitable and very good Automotive business, in which we sell microcontrollers, Analog and memory, so all our products. The $2 million to $3 million Japan impact that I described, a fair amount of that really is in the Automotive segment. And we continue for that to happen again in the June quarter, and I think recovery will begin after that. So the guess in Automotive is that June quarter would be weak. September quarter could be some recovery beginning, and then December quarter could be a significant recovery making up in the year, most of what was lost but maybe not all of it.
Harsh Kumar - Morgan Keegan & Company, Inc.: Fair enough. And then I think in the past, you very publicly mentioned you're not interested in cell phones, tablets, any of the sort of the high-flying consumer products. The question relates to touch, Steve, what -- maybe you could highlight what areas you're targeting or what areas you're most excited about within touch for your business?
Ganesh Moorthy: It's in a broad base of embedded applications that we're in. They are used in industrial applications. They are used in automotive applications. Any number of devices that have a graphical interface that can sometimes need a touch interface to them, those are all the things we have interest. We have 700, 800 applications that are in production with our touch technologies, and they are the most mundane of applications that you would expect at all our standard embedded applications. So anything about a cell phone, tablet kind of application is one we're interested and one that fits with our business model.
Harsh Kumar - Morgan Keegan & Company, Inc.: Okay. Fair enough. I'll come back.
Operator: We'll take our next question from Uche Orji with UBS.
Uche Orji - UBS Investment Bank: Congratulations on weathering the issues from Japan. Just very quickly, with the orders that you're getting, you said you're inundated by requests. How long does the qualification period last for things like automotive, and if your able to fulfill some of these orders, how quickly should we expect it to start to reflect in your revenues? I know you've got some already in the June quarter. But I just want to know, of the ones you deferred to [ph], how much do you think?
Steve Sanghi: Yes, so the disruption in supply chain from Japanese parts and Japanese competitors is not only going to be in automotive. As you get down here in the coming quarters, the next 2 quarters, it's going to be broad-based, consumer, industrial, automotive, telecom, everywhere. And it will be application-by-application. Certain applications that can be qualified very, very quickly and there are certain other applications like automotive that have historically taken longer. Now just last week, I was with a very, very senior executive of a very large automotive company in U.S. We'll not name beyond that. And I asked him how he sees the impact of Japan, and his answer was that when the earthquake happened on March 11 -- you usually have couple of months of supply line pass through the fab already, either the wafers are in assembly or test or finished goods or whatever. So he says the first couple of months were relatively okay. There were minor problems here and there. But the 2 months anniversary is just about coming up next week, and he expects that things to get much tighter here in the coming weeks for the next couple of quarters. So I asked him, and I said, "Well, we can help you if we can get some assistance in really getting these parts qualified." And often it takes a fair amount of time to get the parts qualified in automotive. And his answer, I was totally surprised by, he said, "Yes, it usually takes that long because you want that qualification unchanged. This time, we will want it." And I just did not expect that answer from an automotive executive when he said, "Well this time, we will want that changed very quickly and we'll help push it through." And lo and behold, we have one I definitely know of and there are few others in the works that has already qualified the parts, and we have received production orders for shipment in June. So that's as fast as it can happen but will be all at different flavors. Some will be quick and some will take longer. But I think the positive impact of that in September quarter is for sure. And I think in June quarter, is a toss up on what the negative impact would be and how much of the positive impact we can pull through.
Uche Orji - UBS Investment Bank: That's a great answer. Let me just ask you one follow-up. One of the reactions we had wondered is whether this de-stock in general goes up across the sector, and there are articles questioning whether adjusted time in manufacturing is relevant going forward, and will people now have to hold structurally higher inventory. Do you expect any change to the behavior of inventory holding behavior causing the industry going forward? Do you expect inventory levels to be higher now, as people try to be careful to avoid being caught up like you did last time?
Steve Sanghi: Well, I think time will tell. We historically have held 115 days of inventory, which is really our model, although it's never really that exactly. It's either lower, and we're trying to build towards it, or it's higher and we're to reduce from it. In 115 days of inventory, we can serve our customers fairly well with short lead times. Now the question is will the customers themselves now hold higher inventory because of this crisis? My feeling is if customers had held 1, 2, 3, 4 weeks of more inventory, that really wouldn't have saved. So this is what I would call a six sigma event, almost. It just didn't happen every day, and our all-learned behaviors will go out of the window. I think it's unlikely. I think we'll get through it, and then business will continue as normal.
Operator: We'll take our next question from James Schneider with Goldman Sachs.
James Schneider - Goldman Sachs Group Inc.: Thanks for taking my question. Related to all the questions that are asked before on the supply impact, can you talk about the impact of your lead times right now? You mentioned they were low. Do you expect them to stay at these current levels over the next couple of quarters, as you get that request from other customers?
Ganesh Moorthy: Our lead times really have not changed. They're not pushing out, and a lot depends on how much backlog gets placed. But anticipating some of the growth that Steve described from these dislocations, we are preparing for it, and we expect lead times will be stable.
James Schneider - Goldman Sachs Group Inc.: Great. Thanks very much. And then this is a quick follow-up. Eric, maybe you can address where you are in terms of OpEx today. I think you're kind of in the -- towards the lower end of your 24 to 26 band if I'm remember correctly. Are there any investments or special areas of focus for you where you look to increase that percentage of OpEx, especially in the R&D line going forward?
J. Bjornholt: No, Jim, there isn't anything that I would highlight specifically but we obviously are continuing to focus on getting the correct resources in place to drive our R&D and sales activities for the long haul. So we are at the low end of what our range is. And yes, that's what we're guiding to, again, for the June quarter.
Operator: We'll take our next question from Terence Whalen with Citi.
Bin Jiang: This is Bin speaking for Terence. Could you -- you mentioned the March quarter, it's best than ever first quarter this year. Could you comment that other trend from January to March and into April, do you see improving other trend, especially after the Japan's earthquake, there are more customers stocking driving this trend?
Steve Sanghi: Let me correct first what you've heard. We didn't say that March quarter was best first quarter ever. I said the bookings in the month of April were the best booking month ever for the first month of the quarter.
Bin Jiang: I got you. Thanks for that.
Steve Sanghi: To compare April to January; April, July and October, ever in our history, April was the best booking month. Was that somewhat impacted by people's concern regarding the Japan situation? Very likely, displacement and all that. There's a lot of moving parts, but our guidance itself for this quarter will take us to the record sales level. So for that, we should be booking at the record level, but it has started out very, very strong.
Bin Jiang: All right. My follow-up question, do you see any impact to the gross margin from this Japan issue, especially when customers try to give [ph] their safety stock?
Steve Sanghi: We do not -- our Japan business is very small. So the impact, the positive impact is likely to be larger outside of Japan where the people in U.S., Europe and Asia are trying to replace the Japanese parts which they can't get. And they're likely to be in the similar mix where our current business is, and we do not expect any impact on gross margin.
Bin Jiang: Okay. Fair enough.
Operator: We'll take our next question from Kevin Cassidy with Stifel, Nicolaus.
Kevin Cassidy - Stifel, Nicolaus & Co., Inc.: Thanks for taking my question. Maybe just expanding on that last comment. I was wondering if these changes in Japan, if that's going to create an opportunity for you to build relationships with the Japanese OEMs?
Steve Sanghi: The answer to that is yes. We are getting inquiries and some look-ins in Japan also. But there's a 300-year history, and I think when this thing is all over, Japan will continue to buy from their own company first. Then other Japanese companies second and the foreigners, third. So incrementally, will it be positive? Yes, but I don't expect there'll be huge, huge change in the Japanese behavior that will last.
Kevin Cassidy - Stifel, Nicolaus & Co., Inc.: Okay. And maybe if I could just turn over to the acquisition of MMT. Which products were they doing assembly and test for you already?
J. Bjornholt: It's not so much product, but there were certain range of packages that they were doing for us. There are multiple products that might fit into those packages. There were microcontrollers, there were memory products, so it was just a range of our products in a specific set of packages that they were making.
Kevin Cassidy - Stifel, Nicolaus & Co., Inc.: Okay, and maybe if I could just ask one more on that. What percentage of their business was Microchip's?
J. Bjornholt: That's not information we necessarily want to make public.
Operator: We'll take our next question from Cody Acree with Williams Financial.
Cody Acree - Williams Financial Group, Inc.: Steve, maybe going back to the April quarter or the April month strength in orders, what's your view that, that bump in orders is a build of safety stock that might really not reflect underlying demand?
Steve Sanghi: Well like I said before, there are a lot of moving parts. Our guidance itself for the current quarter will take us to a record quarter. So for that, we should be booking at the rate of record booking. On the top of that, you add some situation orders on the substitution parts. And on the top of that, you add some orders from our existing customers who are trying to lock in their deliveries, and you get the result you get. We don't see a sign that people are really necessarily building an inventory anywhere.
J. Bjornholt: Yes, the one point I would add is if I look at the aging for the bookings that are coming in, there's nothing abnormal in the aging that we are seeing. So it does look like what we would have seen in a normal April, with an elevated level of risk the bookings are coming in.
Cody Acree - Williams Financial Group, Inc.: Right. Thanks a lot. And then, just on your 16-bit and 32-bit strength, any particular end markets that are driving that?
J. Bjornholt: No. We have never been end market focused on these things. We have 3,700 customers in 16-bit. Almost 600 customers on 32-bit. They spread across a wide range of applications and across all the end markets we serve. And that's exactly how we like the business to be.
Operator: We'll take our next question from Sumit Dhanda with Citadel Securities.
Sumit Dhanda - Citadel Securities, LLC: Steve, a couple of questions. In terms of the traction you're getting with customer redesigns in your favor, is there any way for you to try to quantify what that might mean long term for your business, in terms of driving incremental growth? Or is that too hard to do?
Steve Sanghi: Well, it's not too hard to do. In our sales operating system, we have a substantial database, and we track every opportunity from discovery stage to as it goes through design wins and eventually get to order. And we have pages and pages of single sales line item as opportunities that we're tracking and investing resources to help our customers design. So we do have internal capability to model it, but it's not something we're going to share.
J. Bjornholt: So maybe the most positive way to think about this is we're getting looks from many customers that have been strongholds for some of the competitive products that we did not have an opportunity to engage with before. And I think that's where the long-term benefits will come from.
Sumit Dhanda - Citadel Securities, LLC: Okay. And just as a follow-up since you brought up competition, your growth has been extremely impressive, but at most, it seems to have outgrown you pretty handily. If you look over the past 5 years, their business has doubled. You've done well. Are there markets that they're addressing, which you think you should be in? Or how do we think about the fact that their microcontroller business is now actually larger than yours although they started from much smaller base a few years ago?
Steve Sanghi: I think, Sumit, we are very satisfied with our performance. Our Microcontroller business was up huge last year. We have 20 years of record of making records in the Microcontroller business every year and 82 quarters of profitability. And there are plenty of smaller and larger players that can have a good year, a bad year or hit a given market, it could be margin differences. If my business was to go down to 50% gross margin from 60.3% it was last quarter, I'm very confident you will like it. So we have a model. We are very successful. Lots of investors over long term have held our stock, and they're very, very pleased with it. You will happen to not like it, and that's how it goes, and we can't please everybody.
Sumit Dhanda - Citadel Securities, LLC: Okay. Thank you so much, Steve.
Operator: We'll take our next question from Craig Ellis with Caris & Company.
Craig Ellis - Caris & Company: I just wanted to first dig into some of the activity in the business since mid-March. So with Development Tools being a good leading indicator, have you seen Development Tools pick up since then? And did you get a regional look at that, and did you see a pickup in the Japan area?
Ganesh Moorthy: So Development Tools are really not the best indicator to reflect on what Japan specific activity would be. Clearly, if we had new customers who have not used our products before, development tools will pick up there. But there's nothing in that trend that would give us information to predict what is going to happen as a result of Japan. It's really the customer engagements, the opportunity-by-opportunity that we're working, the places where we know timelines that they're working to complete designs, go to production, and that's really where we see the Japan upside coming from.
Craig Ellis - Caris & Company: And it sounded like from Steve's earlier description that, that would be across your 8-bit, 16-bit and 32-bit businesses. Is that fair, Ganesh?
Ganesh Moorthy: Absolutely.
Craig Ellis - Caris & Company: Okay, and then just as a follow-up for Eric. It sounds like sequential revenue growth is going to be tail wind to gross margin, and the company would like to build inventory up to its target inventory base level. Are there any headwinds sequentially to gross margin?
J. Bjornholt: No. I think the one thing I will point out this last quarter, which helped us beat our guidance was that it was a very good product mix. Right? So our microcontroller division has grew. The licensing division grew, and the memory products were down. And then Asia, which tends to have a little lower gross margin than the rest of the business, was down because of the Lunar New Year. Now if Asia pops back this quarter with -- and not being a holiday period, that has a negative impact on gross margin. You can see that we are guiding to be up just slightly to a 60.3% non-GAAP gross margin this quarter. But then yes, I would say that's kind of a normal activity to seasonality that we've seen historically.
Craig Ellis - Caris & Company: That's helpful, Eric.
Operator: We'll take our next question from John Barton with Cowen.
John Barton - Cowen and Company, LLC: On the topic of touch, Ganesh, you talked about the broad markets that you would address outside of handsets and tablets, et cetera. I believe you also got an EDN award for mTouch recently. Can you elaborate on the attributes of the technology that secured that award, please?
Ganesh Moorthy: You're absolutely correct. We just, in fact, earlier this week is when the award was given to us. It's a specific implementation of touch called, Metal Over Cap, and what it provides is an ability to do capacitive touch on a range of different materials. So this is a touch technology, not touchscreen, this is touch for buttons and sliders and that type of thing. It just extends the range of touch capabilities we're providing. This being the most recent innovation that we brought to market that has a lot of customer success and now some critical acclaim as well.
Steve Sanghi: What the Metal Over Cap really allows you to do is really a complete, smooth metal surface. Think of an appliance, an industrial equipment, it had any buttons, just a complete metal surface, and there are just touch spots on it, drawn out where you can touch and make the connection versus the usual touch on a screen or something required. You can do it on metal. So this is the only technology that you actually can go through pure metal to make the touch, and it's very, very required in lot of industrial applications.
John Barton - Cowen and Company, LLC: As a follow-up to that. Just in general, when you think about the capabilities of touch and the microcontroller families, does it represent a substantial increase to ASPs, or is it a necessity in order to address that portion of the sample?
Steve Sanghi: It will often depend on whether the customer is just using a part just to do touch and he has a different microcontroller for his rest of the -- call it the rest of his application, whatever he is trying to do, or he combines everything into one part, and you can really do both. In our case, our touch can be implemented in a wide variety of microcontrollers of Microchip: 8-bit, 16-bit and 32-bit. So it gives you much more capability to combine those 2 together, to do the main application, as well as the touch with a single microcontroller. And that will enhance the ASP. Some others provide just a fewer black box solution where you cannot fiddle with it, and it's just pure ASIC chip, and it only does touch. In that case, it will require a separate microcontroller to do the other function of your applications. And there, you would have bifurcation depending on what you can charge. So this would be kind of -- depends application-by-application and customer-by-customer.
Operator: We'll take our next question from Chris Caso with Susquehanna.
Christopher Caso - Susquehanna Financial Group, LLLP: Just wondering if you could clarify some of the assumptions made in your guidance, and you talk about some of the positive potentials from what's going on in Japan and some of negatives. At the midpoint of guidance, are you assuming a net neutral effect of these? Or have you assumed some negative effect?
Steve Sanghi: We're not going to get pinned down in our own guidance in the box. If you were to really be that precise, we could have just given you a number and we're not able to.
Christopher Caso - Susquehanna Financial Group, LLLP: So I mean is it just baked into the range, and I guess it's just to say it -- I guess that'd be in the case where we're assuming kind of neutral at this point?
Steve Sanghi: You're trying to put words in my mouth.
Christopher Caso - Susquehanna Financial Group, LLLP: Okay. All right. Let me move on then. I guess some of us have the opportunity to take a look at the letter that you issued to your customers on your website during the quarter, in response to some of this. And I think the net of it was sort of asking the customers to provide a bit more visibility going out. I just wonder what the feedback was from the customers on that, and what you actually saw them do as a result of your call to action?
Steve Sanghi: Well the feedback was universally positive from around the world. First, in a very clear fashion, we communicated with our direct as well as distribution customers regarding Microchip was not impacted, our supply chain was not impacted. We did not have factories in Japan from where our product came. And number two, informing them that lots and lots of people are looking for substitution parts. And if I were to start committing our availability to the customers, who're looking for substitution parts, we could have a situation where my own customers who have designed in the product well ahead of time don't have the supply because I gave it to somebody else. So I asked them to give us visibility regarding what your needs are for the current quarter, so I can more appropriately assess what my excess availability is, with which then I can help the other customers. So the process has been very helpful. Some people have given us the orders, but many other people have given us forecast or visibility and other way are engaged into conversations regarding that their business continues uninterrupted, and they will need the same number of parts as last quarter, will need slightly more, or here's a new design or whatever. So I think the interaction has been very positive.
Christopher Caso - Susquehanna Financial Group, LLLP: And I guess on that, did you actually see an increase in bookings for quarters further out as a result of that as well?
Steve Sanghi: We have seen the strength in bookings, yes.
Operator: We'll take our next question from Brendan Furlong with Miller Tabak.
Brendan Furlong - Miller Tabak + Co., LLC: Question on your substitution parts or second sourcing that potentially you're getting from some customers. Do you think that's going to help you offset some of the normal seasonality that you see in the December quarter in terms of the qualification process that will be kicking in, maybe in the December quarter?
Steve Sanghi: We don't know. It's too far. There are all these questions regarding how soon the recovery from Japanese supply chain would happen, how many customers will actually complete their qualification and by parts, how many customers will remain with us afterwards. And when the Japan supply comes back, they wouldn't go back. Now the history shows that in the other industry cycles, when lead times have become very long from our competitors and Microchip through our inventory strategy, kept short lead times and we won customers, we have kept those customers, and our business has grown into every cycle. So I'm fairly confident that we'll keep a large number of customers, but we won't keep all of them. Never before in the supply chain it was as much because of Japanese parts. So that's the new thing this time. The customers in Japan and the supply of the Japanese parts. So it's a different phenomena, and we have never been here before. So we are prepared to have the availability to help our customers, and we will do a very good job for them and try to win the next design as well as keep the current design. But to project that far out and then not knowing how soon the Japanese supply lines will recover, it's very hard to answer that question.
Brendan Furlong - Miller Tabak + Co., LLC: Okay. And then, I guess, my last question is on of the gross margins, getting close up to the 60% range is going to be tougher and tougher to get incremental gains. But do you expect to see some incremental gross margin improvement over the fiscal year?
Steve Sanghi: We do expect to see some incremental gross margin, small incremental gross margin improvement over the year, yes. It's largely driven by product mix because the microcontrollers and Analog products and licensing are largely providing bulk of the growth for the company, as our Memory business is not as strategic, and we cherry pick it and manage it for very high profitability. So over time, mix gets richer and microcontroller and Analog margins are higher.
Operator: We'll take our next question from Blayne Curtis with Barclays Capital.
Blayne Curtis - Barclays Capital: Great. Thanks for taking my question. I just wanted to ask if you could provide a little color on the strength in the quarter. I know it's hard to break out by end market for you, but if there are any particular areas that were strong either in your end market or geography. And then, the strength in the April bookings, it sound like you did a pretty comprehensive bottoms up. Would you -- netting the Japan impacts out, is that still -- would you characterize it as a strong bookings month?
Steve Sanghi: Yes. It would be a strong bookings month. Although I don't know if you know how to net it out. But it was a strong bookings month by any way you look at it. In terms of the pockets of strength, we do not break our business out by vertical markets nor do we look at it that way. We have 70,000-plus customers. Our business is very, very horizontal. But looking at product lines and geographies, we do expect strength in China. China is usually weak in March quarter because of the Lunar New Year holiday. So just coming from that into the June quarter, you have significant more number of working days. And we expect China to drive significant growth for the current quarter. Europe was very strong last quarter. What Was Europe up what quarter?
J. Bjornholt: 16.5%.
Steve Sanghi: So Europe was up sequentially 16.5%. And usually June is a flattish quarter for them. So those are couple of pointers there, as well as product lines are concerned, we expect the microcontrollers to do very well, make it another all-time record and Analog also should do a good growth and Memory to be moderate.
Blayne Curtis - Barclays Capital: Great, and then on just the inventory, I apologize if you broke it out, where that stands and then given the disruption, whether you're expected to increase and then any color as far as customer inventory levels as well. You indicated that sort of recoveries have, any color would be appreciated.
Ganesh Moorthy: I don't expect the distribution in inventory to make any major change in either direction. Whether it was down today or up today, those are minor movements. It largely will depend on how much they're able to sell it out and take advantage of the upside and if they sell out a lot, it could down a little bit or it could go up a little bit, it will be the same. So I would not taken any start in it.
J. Bjornholt: And it was up one day at last quarter, and it is 40 days, up from 39.
Operator: We'll take our next question from Christopher Danely with JPMorgan.
Shaon Baqui - JP Morgan Chase & Co: It's Shaon Baqui calling in for Chris. Thanks for squeezing me in here. I just want to circle back on the gross margin guidance here real quick. I notice you got revenues up and margins flattish for this quarter. Could you kind of walk us through some of the puts and takes there? Is it all mixed or just utilization going up or down this quarter?
Steve Sanghi: Well, the mix by product line would be better. And there's a normal improvement in gross margin by just the normal cost reductions in manufacturing yield improvements and others. So those are the positive factors. And the negative factor, as Eric earlier described, the March quarter is the weak quarter in Asia and June quarter is a very strong quarter in Asia. And Asia gross margins are lower than the rest of the world. So that's a net negative for the June quarter. When you balance it all out, I think we expect a flattish to slight improvement in the gross margin.
J. Bjornholt: Yes, we got it up at 0.1%.
Steve Sanghi: 0.1% up.
Shaon Baqui - JP Morgan Chase & Co: Okay, very helpful. And this is a quick follow-up, just a housekeeping item. It looks like the discontinued item -- discontinued operations loss was a little higher than what we had expected, can you talk a little bit about what drove that, and how we should think about that for this quarter and going forward?
J. Bjornholt: So this charge in the last quarter relates to the business that we licensed to PCT, as part of the SST restructuring. There was product that we started with our foundry partners and anticipation of PCT's product needs. And that market that they service for these products, that they sell into has not performed well over the last several quarters. And it turns out that PCT does not need to purchase that inventory from us. So there's been a reduction in demand in the market, which drove us to have a charge for inventory for that particular operation.
Shaon Baqui - JP Morgan Chase & Co: Okay. Great. That's helpful.
J. Bjornholt: This is the last quarter, the March quarter that we'll have anything in discontinued operations.
Operator: We'll take our next question from John Pitzer with Credit Suisse.
John Pitzer - Crédit Suisse AG: Thanks for letting me ask a question. I guess either for Steve or for Eric. I know you guys have guided gross margin's up modestly here in the June quarter. But as we think about kind of the longer-term targets, you guys have done a nice job since the first full quarter of SSTI picking gross margins up. Should we think that kind of 60%, 61% is the right target? Or are there levers that you guys can pull to have margins to get back to where they were pre-SSTI?
Steve Sanghi: Pre-SST gross margins were 61.5%, right?
J. Bjornholt: Yes.
Steve Sanghi: And so from where we're talking about, we're basically talking about 100 basis points, and we added substantial SST business. Some of it was at the lower gross margin, which we have improved significantly and we'll continue to improve them. Well, I think, from head on, it's a slow and steady progress upwards. And I think we can get there, but we don't have a time frame.
John Pitzer - Crédit Suisse AG: And then Steve, you talked a little bit about order visibility picking up close to 10. I'm just kind of curious, in this sort of environment, what you see around pricing trends for your products. Is that potential upside, or would you expect pricing to kind of fall in normal trends?
Steve Sanghi: Well, as far as the microcontrollers is concerned, which is bulk of our business, we don't joke around pricing. We don't take pricing down when there's excess availability or recession. We don't take pricing up when there's shortage. We don't gouge our customers, and we don't really give them big breaks. These are proprietary sockets where the prices determine that the part of designing and it's a very disciplined business. For 20 years, we have followed that strategy, and that's why we have so many repeat customers, loyal customers that continue to buy from us. So from our existing customers, we will not take advantage of them to increase the price. Now when the new customers come in, who have not been our customers and they are substituting the product, then you have to forget what the market is and what you should charge them. And again, an assessment of that point in time, whether they are just opportunistic for the quarter or we could make them long-term customers. If you can make them long-term customers, then they should have a fair price.
Operator: And we'll go next to Gil Alexandre with Darphil Associates.
Gilbert Alexandre: As you look at fiscal 2012, you have -- are you willing to give a range of how much revenues could be up?
Steve Sanghi: No, Gil, we are not willing to give you a range. We gave a range for calendar '10 and fiscal '11, if you recall, that didn't do us any good. It didn't make us any friends and we blew those numbers away. When we gave a range, everybody said the numbers were not doable, and we blew those targets away and they're substantially better. So we missed our own number because we did much better. And do we have an internal plan? Sure, we do.
Gilbert Alexandre: I know that.
Steve Sanghi: Are we going to share it? No.
Gilbert Alexandre: Okay. And the second question, I'm assuming you can continue to gain market shares in the 3 categories?
Steve Sanghi: Yes. We fully expect to continue to gain market share in 8-bit, 16-bit, 32-bit and Analog. And we did gain market share in all those product lines individually, as well as collectively in fiscal year '10, fiscal year '11.
Operator: We have a follow-up question from Uche Orji with UBS.
Uche Orji - UBS Investment Bank: Steve, I dropped off briefly so I apologize if you answered this earlier. But last year, I know obviously since you're growing at the rate of twice the microcontroller business. Looking forward, should we expect this growth rate to be the way we should think about Analog, and especially as you have go through business independence Analog business growing. So any way we should think about in terms of growth prospect forward for that business?
Steve Sanghi: Well, microcontroller is over a $1 billion business, and Analog was I don't know what it was for the year, $180 million or so. So the sizes are quite different, so that's one. If you compare Analog to some of the smaller segments of the Microcontroller business, like 16-bit or 32-bit or even the high-end Analog then they grew very significantly similarly. So when you combine the entire microcontrollers, then you add a very large amount of legacy business to it, and obviously, $1 billion business then is harder to compare against generating $80 million growth business. Secondly, as we are growing significantly on 16-bit and 32-bit, our 16-bit doubled the last year, and 32-bit more than tripled the last year. They have significant more Analog around the microcontrollers in those applications than the 8-bit did. So our opportunity on the new designs is significantly higher. And with our broad Analog portfolio, we're taking advantage of it.
Uche Orji - UBS Investment Bank: And just one more question. Your 32-bit has been growing significantly faster like you said than 16-bit was at some point. On one hand, should we see this as an indication of your going with MIPS as opposed to ARM. And also on the other hand, any comment as to what kind of end market is driving those 32-bit growth, that will just be helpful to look at how much more run rate there is for growth there.
Steve Sanghi: Okay. The end market, we don't have any commentary, as Ganesh said we're going to have over 600 customers and pretty much covers every end market. The ARM versus MIPS -- customers going by ARM or customers going by MIPS or by microcontrollers. And if you look at the EE Times survey that just came out 2 weeks ago, our PIC32 solution outranked every single microcontroller manufacturer in the 32-bit category in microcontroller applications, which are 100 megahertz or lower. Every single supplier of microcontroller that uses ARM or anybody else. And that's the right competition. We compete against manufacturers of 32-bit microcontrollers. We don't compete against ARM. And against that competition, we beat everyone of them, every single competitor was below us, in customers telling what are they likely to use for the next design. You should see that slide, we'll be showing it next time, anybody goes in the conference, that will be in our presentation, that slide. So it's impressive.
Operator: And we'll take our next question from Ruben Roy with Pacific Crest Securities.
Ruben Roy - Pacific Crest Securities, Inc.: Either Steve or Ganesh, just a follow-up to the 32-bit discussion. You obviously have many more 16-bit customers. What's the overlap, 16-bit customers versus the kind of under 600 32-bit customers. Is there a lot of overlap, and is there any evidence as 32-bit accelerates that you're seeing some potential 16-bit sockets just straight away and move to 30-bit -- 32-bit?
Ganesh Moorthy: Clearly, there is some overlap in the customers, but not in necessarily in the given opportunity. I think the way to think about it is as we have brought more 32-bit solutions to the market, it actually opens up more 16-bit possibilities at a given customer because in some cases, where we came to a new customer who didn't buy anything from us starts up on a 32-bit, has another project that they work on and they say having tried of 32-bit, a 16-bit may be the right solution for the next one. So in the end, we want to sell customers 8s, 16s or 32s, whatever is right for their solution. But I don't think any 16-bit opportunity is being lost with 32-bit or vice versa. There are different needs, we find the right solution for a given need, and you position the product that best solves what the customer is trying to do.
Ruben Roy - Pacific Crest Securities, Inc.: And can I ask, could you break out the 8-bit growth for fiscal 2011 versus fiscal 2010?
Ganesh Moorthy: I don't have the fiscal 2010 growth.
Steve Sanghi: We don't break the 8-bit growth, no we don't.
Ganesh Moorthy: 8-bit we don't. We have overall microcontroller growth.
Ruben Roy - Pacific Crest Securities, Inc.: Right. Okay.
Steve Sanghi: We did say that we did record in 8-bit. Fiscal 2011 was a record 8-bit microcontroller revenue.
Operator: And we'll take our next question from Doug Freedman with Gleacher.
Doug Freedman - Gleacher & Company, Inc.: Great. Thanks for taking my questions, guys. Steve, if you could -- we saw a pretty big acquisition this quarter in a 10 gentle market, that being a national semi TI. Can you comment on how you see you're position in the market in any way affected by this and whether you think larger M&A needs to be a part of your ongoing strategy?
Steve Sanghi: Well, one of the questions I often get is like with such strength and really having a multibillion dollar Analog business that the acquiree is going to really have. What's going to happen to all the smaller guys? Is there room for Analog, or does everybody get squeezed out? My feeling is that, that not really happen. If that was to be the case, then, Microchip will have never made its mark in the Microcontroller business and even in the last 10 years building $180 million Analog business, lots and lots and lots of competitors were there. So in the semiconductor industry, it has never squeezed the little guy there are always opportunities where we have a differentiated product, we do a better job, we bundle it with a micro and other -- so we only expect our Analog opportunities to increase because it replaces where a customer still wants 2 sources and they were buying from 2 of them and things like that. And in any consolidation of such large businesses you're going to find places where the acquire screws up and we have acquired complete [ph] ourselves and 100% of things don't go right. So we're looking for this to be opportunity for us than a problem.
Operator: We have time for a final question tonight. It does come from Sujeeva De Silva with ThinkEquity.
Sujeeva De Silva - ThinkEquity LLC: I'm just trying to understand how a typical April, May, June quarter move in terms of linearity. And given the strong April this time around, whether you've guided to that typical linearity or more of a front end loaded quarter?
Steve Sanghi: Well, April, May, June is probably the most linear quarter. March quarter gets screwed up because of the Lunar New year. Summer quarter gets screwed up because of holidays in August in Europe and in October, November, December quarter has so many holidays in November and December. So this is probably the most normal quarter. But a phenomenal quarter every year also, so the data we gave you that the bookings were all time record for first month, that's a fact.
Sujeeva De Silva - ThinkEquity LLC: I guess my question is given the strong April, did you take a conservative stand, maybe assume less than typical linearity this time around or did you guide -- that typical in the area of a strong April that was my question?
J. Bjornholt: The strength Steve talked about was in bookings.
Steve Sanghi: Yes, the strength was in bookings.
Sujeeva De Silva - ThinkEquity LLC: [indiscernible] So you can deliver that.
Steve Sanghi: Yes it can aid out. So you really have to look at bottoms up how many customers want the product delivered and scheduled in the current quarter, from the bookings, from existing backlog and from the expectation of what the customers have told us what they may be buying, plus you have to estimate that this sales out [ph]. So it's really a fairly complicated equation.
Sujeeva De Silva - ThinkEquity LLC: Okay. That helps. And then if you could just remind us on back end. If you do outsource or whether it's all in-house and if you had to secure additional capacity given the events?
J. Bjornholt: We have on the order of 65% or so of our assembly, we do in-house, the bounce of it gets done through the subcontractors and a much higher percentage of our test is also been in-house. We have no issues at this point with respect to back end capacity and the addition of MMT further secures our back end capacity for the coming months.
Operator: And at this time, there are no further questions. So Mr. Sanghi, I'll turn the call back to you for any closing comments.
Steve Sanghi: Okay. Thanks to all the investors and analysts. There are a few conferences coming up this quarter. So some of our executives will be seeing you at those conferences and otherwise, we'll see you in this call next quarter. Thank you very much.
Operator: Ladies and gentlemen, this does conclude today's conference. We appreciate your participation.